Operator: Thank you for standing by. This is the conference operator. Welcome to the Cutera Inc. First Quarter 2023 Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] The discussion today includes forward-looking statements. These forward-looking statements reflect management's current forecast or expectation of current aspects of the company's future business including, but not limited to any financial guidance provided for modeling purposes. Forward-looking statements are based on current information that is, by its nature, dynamic and subject to change. Forward-looking statements include, among others, statements regarding financial guidance, regulatory approvals, productivity improvements and plans to introduce new products and expand into additional geographies. For words that identify forward-looking statements, we encourage you to refer to the safe harbor statement in our press release earlier today. All forward-looking statements are subject to risks and uncertainties, including those risk factors described in the section entitled Risk Factors in our Form 10-K, as filed with the Securities and Exchange Commission and updated in our Form 10-Q subsequently filed. Cutera also cautions you not to place undue reliance on forward-looking statements, which speak only as of the date they are made. Cutera undertakes no obligation to update publicly any forward-looking statements to reflect new information, events or circumstances or to reflect the occurrence of unanticipated events. Future results may differ materially from management's current expectations. In addition, we will discuss non-GAAP financial measures, including results on an adjusted basis. We believe these financial measures can facilitate a more complete analysis and greater transparency into Cutera's ongoing results of operations, particularly when comparing underlying results from period to period. Please refer to the reconciliation of GAAP to non-GAAP measures in our earnings release. These non-GAAP financial measures should be considered along with, but not as alternatives to the operating performance measures prescribed by GAAP. With that, I would like to turn the conference over to Sheila Hopkins, Interim CEO of Cutera. Please go ahead. 
Sheila Hopkins : Thank you Sharice. Good afternoon and welcome to Cutera's First Quarter 2023 Earnings Call. I'm glad you're able to join us for this update. As most of you on the call know I was appointed interim CEO by the Board in April. As announced in our earnings press release today Rohan Seth is leaving the company. Stuart Drummond, formerly our Vice President and Corporate Controller has been appointed Interim CEO. Stuart is joining me on today's call along with Greg Barker our Vice President of FP&A and Investor Relations. On today's call, I will walk you through our first quarter 2023 performance and discuss recent events related to our financial results. I will then pass the call over to Stuart to provide greater detail on the financials then I will wrap up the call and open it up for questions. First a bit of background on me. Before joining the Cutera Board in 2021 I held executive leadership roles at Bausch + Lomb, Colgate-Palmolive Procter & Gamble and Tambrands. In those roles I led business turnarounds and acceleration. I have faced situations with challenges that are similar to those that Cutera is facing and while I am new in the interim role I am confident that we can overcome our challenges to drive long-term value. In that regard since taking the interim role I've had the opportunity to meet extensively with our senior leadership team and many others across the company. I've come away from these conversations with two key observations. First we have technology and products that are innovative differentiated and deliver excellent results. As a result we have strong customer and patient satisfaction. Second we have a world-class organization made up of highly talented people who believe in our strategy and are committed to our mission which is engineering technology for clinicians and practice owners who are creating the future of aesthetics. So we have a very strong foundation in place however we have not executed particularly well as evidenced by our results in recent quarters, including the disappointing first quarter 2023 results being reported today. As the Special Committee of the Board has said publicly, the Board realized in the fourth quarter of last year that Cutera needed a new CEO to help improve execution. The significant execution challenges and our results in the first quarter actually reinforce that fact but let me be clear. Our challenges in the quarter were mostly self-inflicted and can be attributed to suboptimal leadership direction that led to execution issues that can and will be solved. Now, the Special Committee is committed to finding the right permanent leader for the business, who can execute effectively against our opportunities and to that end the Board is underway in its search process to identify the next permanent CEO of Cutera. That new CEO will not be me or any other director currently on the board. We have engaged a leading executive search firm and we are in the process of sourcing external candidates. The Board is committed to bringing in a world-class operating executive, someone who will best serve the long-term interest of the shareholders, be a culture carrier for the company, execute our strategy effectively and operate with the highest level of integrity. And we're already seeing some terrific candidates and look forward to announcing a permanent CEO as soon as we are through with our process. I want to thank many of our largest shareholders for providing input on the specification for this critical role. We believe we are aligned in the framework of the skills needed to bring Cutera forward. Now there are, as you are undoubtedly aware, some controversies between the former leadership of the company and a group of independent directors that comprise the Special Committee. We are working through those issues and should have clarity for shareholders in the next few months. In the meantime, we are continuing to do the important work of improving our execution of the company's strategy and searching for a new CEO. For the purposes of this call, we are not going to address these governance matters, which are the subject of litigation. So with that I'd like to shift and provide an overview of the first quarter. Total revenue for the quarter was $55 million, down slightly from the year ago period. The softness traces primarily to a decline in North American capital equipment and skincare in Japan. This was offset by strength in the international capital equipment business. Adjusted EBITDA of negative $14.5 million was also below our expectations and a year ago, the result of lower gross margins, higher operating expenses and FX headwinds. Now, while revenue came in below our expectations, we're quite encouraged by AviClear's performance. We placed 350 AviClear devices in the quarter, which exceeded our expectations and demonstrates healthy early market acceptance of this breakthrough technology. Since the November launch, the capital team has been directed to focus on driving placements on AviClear to take advantage of our first mover advantage. While we've been very successful in placing devices, we have not done as well in driving treatment and utilization, so our primary focus going forward will be exactly that. It is now clear that the significant pace of placements in the last two quarters has outpaced our ability to quickly install units and partly with practices to effectively drive utilization. Going forward, we'll expand our installation team to shorten the time from placement to utilization. We will also fine-tune training for our Key Account Managers or KAMs to help them work even more effectively with clinicians to drive treatment volume and utilization. Increasing the utilization of each of the systems is key to unlocking AviClear's potential to transform our business and also that of the practitioner. Know that we will continue to place new units, but we will do so with discipline and at a more measured pace. We need to be sure we are deploying our capital and equipment and practices that can achieve the treatment volume and utilization rates that will drive high ROI for Cutera. Turning to capital equipment. Revenue was down over 2022, primarily a result of underperformance within North America. The North American performance was slightly offset by positive performance in the rest of the world. Lower-than-expected capital equipment revenues in North America were the result of two operational factors. First, our capital sales team's continued focus on driving placements for AviClear. And second, the company faced challenges completing its audit-related inventory count, which resulted in a four-week plant shutdown and a loss of production output. Decreases in our average selling prices or ASPs also placed downward pressure on revenue in the quarter. So let me go into a bit more detail on the first two points. As discussed on our last quarterly call, the volume of AviClear deals in the fourth quarter diverted sales attention away from core capital deals. This trend actually continued in the first quarter as the capital team was directed to maintain focus on AviClear placements as a number one priority and as a result fewer core capital deals were closed. As mentioned, we are now shifting our AviClear commercial emphasis towards device utilization, which is driven by our key account manager or KAM organization. Moving forward, this should allow our capital reps to return their primary focus to the sale of our core capital products, while simultaneously securing new attractive AviClear placements at a more measured pace. With these recent changes and the successful implementation of retention incentives, we've reenergized our sales force. Based on the extensive conversations I've had over the last couple of weeks, they are highly enthusiastic about their opportunities and they remain fully committed to driving growth in our business. The second operational challenge we faced during the quarter traces to an extended plant shutdown that impacted our ability to build inventory and ship product for a period of time. So there's typically a one-week shutdown of our production facilities during the first week of January to enable a physical count of inventory. This year to comply with audit requirements the year-end physical inventory count took longer than expected and our production facilities were shut down by an additional three weeks. This extended shutdown negatively impacted our ability to build and ship the product required to fully meet demand in the core business during the quarter. Turning to international capital, which includes Europe, Japan, intercontinental. Our business was up approximately 18% in constant currency, driven by solid sales execution from our team and external partners. During the quarter, we saw strong growth in our Europe and intercontinental regions. This points to a healthy underlying demand for our capital products. Moving on. Recurring revenue was up 8% versus a year ago in constant currency, driven by results on AviClear. I'd now like to take a minute and sprinkle in a bit of on-the-ground market perspective. In April, the company attended the American Society for Laser Medicine and Surgery or ASLMS Conference in Phoenix. It's one of the big meetings for customers that use energy-based technologies like ours. We had a great conference where we celebrated Cutera's 25th anniversary. Our reps were highly engaged in very productive conversations with potential customers and the interest in AviClear was significant. From a technology perspective 17 26-nanometer lasers, which we use in our AviClear device continue to lead the conversation for the treatment of acne. So connecting all the dots, while our first quarter performance did not meet our expectations, we remain optimistic about the underlying demand for our core products and the growth opportunity that AviClear provides. I am convinced that as we improve our execution the business will return to sustainable growth. Despite our long-term confidence in the business, we are not providing financial guidance at this time. Given the issues that we've discussed today, the current team has a lot of work to go through to validate our financial projections and the assumptions that underlie them. We want to take the time to be diligent in this process and ensure that the entire team is comfortable with the financial expectations for the business going forward. We do recognize the importance of guidance to the Street and we're working towards reintroducing guidance as soon as possible. Finally, I would be remiss, not to thank everyone throughout the organization for their continued hard work, flexibility and focus, as we work through some of the recent changes in our leadership. Our people are our biggest asset and we consider ourselves fortunate to have the best people in the industry on our team. I would now like to turn the call over to Stuart for a financial update. Stuart?
Stuart Drummond: Thank you, Sheila. As I review my prepared remarks, I want to note that I will be discussing some non-GAAP results. A reconciliation of GAAP to non-GAAP gross margin and the operating loss is included in our earnings release. We encourage listeners and readers to review our non-GAAP results in conjunction with the GAAP results as contained in the earnings release. First, just a little bit about me. I obtained my Chartered Accounting Certification in New Zealand through KPMG and then worked with large multinationals in Europe before coming to United States. I've worked in Bay Area for a total of around 14 years, most recently in Corporate Controller roles in the life sciences industry. I joined Cutera in July 2021 as Vice President and Corporate Controller. Turning to our Q1 results. Total revenue for the first quarter was $55 million compared to $58 million for the same period in 2022, representing a decrease of approximately 5% on an as-reported basis. During the quarter, we continued to face foreign currency headwinds and our constant currency revenue decline was approximately 1%. Before I begin with providing you the details regarding our performance across the globe, let me give you some insights on the financial impact of the production shutdown, driven by the audit-related procedures that Sheila mentioned earlier in the call. We estimate $2.8 million was lost in revenue for products, which we had orders on hand and weren't able to fulfill due to the lack of finished goods inventory with an estimated split of $1.8 million in North America and $1 million internationally. In addition, to other deals which orders we never received as our customers were aware that we didn't have the relevant inventory. First quarter consolidated capital equipment revenue of $33.3 million, decreased by $3.2 million from the prior year period. This decrease reflects low ASPs resulting from a geographic shift from North America to our international customers and distributors, as well as the previously mentioned impact of the extended plant shutdown on sales volume. North American capital equipment revenue of $18 million, decreased by 21% over the prior year. As I mentioned, we estimate that approximately $1.8 million of the shortfall was due to orders that could not be shipped due to the lack of finished goods. In addition, $0.5 million of orders were packaged and available to ship, but did not meet the revenue cutoff. Had we managed to get this $2.3 million in the quarter, the revenue decline would have been 11%. While we are disappointed with these results, we also note that we had more than 350 AviClear placements in the quarter. International capital equipment revenue for the first quarter was $15.4 million, up 11% from the first quarter of 2022, driven by consistent execution and focus, particularly in our distributor markets and European direct markets. Recurring revenue defined as our Consumables Global Service Skincare and AviClear product line was $21.7 million in the first quarter, up 1% as reported and up 8% on a constant currency basis versus the comparative period. The increase over the prior year was driven by AviClear revenue of $4.4 million. This growth was partially offset by a decline in Skincare revenue which came in at $8.1 million down 3% as reported and 19% on a constant currency basis. Our service revenue declined by 9%, as it continues to be impacted by the availability of spare parts. Non-GAAP gross profit for the first quarter of fiscal 2023 was $27 million, with a gross margin of 49.1%, representing a decrease of 660 basis points compared to the same period last year. Foreign exchange headwinds adversely impacted gross margin by 190 basis points and the delays in completing our imagery audit procedures affected us on multiple fronts. The resulting delays in production impacted our manufacturing absorption by approximately 110 basis points and the resulting lack of finished goods availability resulted in lower fixed cost leverage, which had an impact of approximately 100 basis points. Also adversely impacting our gross margin were customer and region mix impacts of approximately 250 basis points. We view these impacts is largely transitory in nature and expect that as production volumes ramp up and North America returns to growth these margin impacts will dissipate. Non-GAAP sales and marketing expenses for the first quarter of 2023 were $25.8 million, compared to $23.5 million for the same period last year driven by a continued expansion in our AviClear sales force. Non-GAAP R&D expenses for the first quarter of 2023 were $5.7 million, compared to $5.5 million for the same period last year. Non-GAAP G&A expenses for the first quarter of 2023 were $10.1 million compared to $7.1 million in the same period last year. More than half of the increase was driven by fees associated with the extended audit and the rest primarily relates to increased legal expenses and IT costs to support our recently implemented ERP system. For the first quarter of 2023, our non-GAAP operating income, which we refer to as adjusted EBITDA was a loss of $14.5 million compared to a loss of $3.8 million in the prior year period. This increase in loss was largely driven by unfavorable gross margin, increasing operating expenses and FX headwinds. There were no material or significant changes to our tax position. Turning now to our balance sheet. We ended the quarter with $267.7 million of cash and marketable securities compared to $317.3 million at the end of 2022. Driving this $49.7 million sequential decrease a $23.1 million of cash utilization to support AviClear $12.4 million from core losses primarily driven by sales and gross margin shortfalls, which we expect to recover from quickly $8.2 million increase in core inventory and $5.6 million from slower core collections. Our expectation is that this is the high watermark for cash burn and this will trend downwards throughout 2023. With that I will now pass the call back to Sheila. 
Sheila Hopkins: Thanks Stuart. So in conclusion our strategy is sound and we believe we'll be able to drive results as we double down our focus on execution. In particular, we remain enthusiastic about AviClear, the first FDA-approved device for the treatment of mild, moderate and severe acne across all skin types. Most critically, the clinical outcomes and patient safety profile from the signature procedure are unmatched. We believe that AviClear will change the way that dermatologists treat acne. By approaching the acne market with a minimal upfront financial commitment and a meaningful recurring treatment revenue stream for our customers and Cutera, we have established a true collaboration that tightly aligns our interest with our customers, the clinicians and practice owners. Know that we will also be responsible stewards of our capital as we move forward to realize the full potential of AviClear. We are enthusiastic about our business prospects and believe the future is bright for Cutera and we have extremely talented people throughout the organization who are highly committed to capitalizing on the significant opportunities that exist both within our core business and with AviClear. The foundation of the business is strong and the leadership team and our Board of Directors remain as enthusiastic about the business as ever. So at this time we're happy to answer any questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from George Sellers with Stephens Inc. Please go ahead. 
George Sellers: Hey good afternoon, and thanks for taking the question. Could you provide some additional details on the factory shutdown and some of the timing there when that occurred, and ultimately if there's any additional headwinds from that expected in the second quarter, or if those operations are back to normal?
Stuart Drummond: Yeah. Thanks, George for your question. It's Stuart here. So we typically shut down production for about one week at the beginning of January to do the inventory count for audit purposes. During this time, there are no inventory movements so we can't move anything from material into production. This year's count was more challenging than the past. We implemented a new ERP in 2022 plus we had increased levels of inventory. Due to some identified count inaccuracies, we'd perform numerous recounts and ultimately had to recount our third-party warehouse. So the count procedures extended an additional three weeks and for four weeks in total we're unable to produce. You see my gross margin comments in my prepared remarks that we were impacted by this. We had lower inventory produced and so we were unable to absorb all the usual fixed costs. So our gross margin was hit by about 2.1 points but we believe these effects are transitory and we'll resume normal production in the second quarter. 
George Sellers: Okay. That's helpful. And then maybe taking a step back from the factory shutdown issues, what would have been some of the drivers to North American capital sales coming up a little shorter than expected? I think even after adding back the numbers that you specifically called out that revenue would have been a little bit lower than we were expecting. And I guess I'm also asking within that question, how would you characterize the underlying aesthetic market in the quarter and how that progressed?
Sheila Hopkins: Thanks, George for that question. In addition to the plant shutdown, I'd say the other key driver of the softness that we saw in the capital business is that as I mentioned in the comments the capital organization had been directed to continue to focus on AviClear as the number one priority and that actually did continue to be a bit of a distraction. So we are working to correct that going forward. As mentioned going forward, the Capital organization will return to a number one focus on the Capital business. They will continue to place some Avi devices but in a much more strategic way making sure that devices are placed only in offices that have the patient traffic to drive significant treatment volume and also to -- we will be pacing the placements in a more deliberate manner going forward. Generally speaking all that I have heard would suggest that the state of the aesthetics market is remains healthy. 
George Sellers: Okay. Great. Thank you for the time. I’ll leave it at just two. Thank you all. 
Sheila Hopkins: Thank you.
Operator: The next question comes from Jon Block with Stifel. Please go ahead.
Jon Block: Thanks. Good afternoon. Sheila, maybe I'll start on that last point. I'm just a little confused on the sales reps' marching orders. So if I recall correctly in the fourth quarter call, the prior management you talked about a new incentive program which was supposed to help refocus the rep's attention sort of properly allocate their time between AviClear and Capital. And again, that was on the fourth quarter call and it was conveyed as if it had already taken place. So are you saying that it didn't take place or did it not resonate? Maybe you can clarify? And then most importantly, has this all been squared away? And as we sit here today they know how to allocate their time and they're doing so properly.
Sheila Hopkins: Thanks, Jon. Appreciate that question. The short answer would be the revisions in the comp plan were executed. What appears to have happened is that there was a direction to the capital sales organization to place AviClear devices as a number one priority and this capital selling organization delivered against that direction. But that direction did -- the reality is that distracted them a bit from capital placements. The good news is I think that we now have crystal clarity in the market regarding not only direction, but also there is a clear shift in the commercial focus of the organization.  So, what we've done is a great job of placing devices which enables us to take advantage of a first mover position in the marketplace. Now, the next task is to relentlessly drive utilization off of those devices and that's the job of the KAM team and which enables the capital organization to focus in a priority way against capital again. They will -- in a world where we are being more strategic about our Avi device placements and being more deliberate in the speed in which we place those devices that really enables the capital organization to focus relentlessly against driving capital. So, we think we're very clear on what needs to get done now.
Jon Block: Okay, got it. I'll go back to that in a second. But maybe just to pivot your thoughts on other potential executive defections if I recall roughly a dozen key employees signed a letter saying they didn't want to see a change in leadership. They thought the current team had things moving ahead and going in the right direction. But under your leadership you guys went ahead and made some tough decisions and changes anyway. We just saw Rohan go ahead and leave the company. You talked Sheila on the call about the people being the company's biggest asset. So, I'd love just some commentary on the morale within the company and where that sits and if that's improving? And then maybe your thoughts of the risk of other defections again when we think about that letter that was written and still the Board's decision to go ahead and make the changes that they made?
Sheila Hopkins: Yes. Thanks again another great question. I think frankly the good news in this area is I'm here on the ground and what I see every single day are Cutera employees who remain passionate and committed to the company. I have people coming into my office on a regular basis to just say I want you to know I'm here. I'm with you. The day that I got here, I had a meeting with the leadership team and to a person everyone said we are committed to partnering with you Sheila to grow this business. And that has not been talk. I have seen nothing, but commitment partnership and a drive to do what's right for the business. So, I think morale is actually quite good given the circumstances. The people who are in the room with me are nodding their heads. 
Jon Block: Okay and I think the last one -- I think under these circumstances it hopefully justifies the third question. You said the business is strong but how do you get shareholders comfortable without providing any guidance? And I think there was a thought of you might give some high-level clarity you might provide guidance with a wide range. But you got a stock right now that's even bidding down another 20%, 25% off of depressed levels. So, you're telling us that the business is strong but you're not quantifying it and I guess we certainly don't see that as the takeaway from today's call. So, any additional clarity you could provide there would be very helpful? Thanks for your time guys.
Sheila Hopkins: Sure. So, I think the weakness that we have seen in the first quarter, largely reflects executional challenges not underlying fundamental weakness in the business and that's why we continue to say that the business is fundamentally healthy. The challenges that we face are challenges that are largely self-inflicted and the good news is that we are now in charge of correcting and addressing those issues. And so it's under our control and we are working aggressively to do just that. And I do understand the importance of guidance. And I want you to know that, Stuart and I, who are both new in position, are working fast and furiously to really understand and evaluate the existing financial projections on the business and the key assumptions that underlie them. And we've got to make sure that we are comfortable with them. Obviously, the miss in the first quarter, makes it even more imperative to reassess. But once again, once we have a set of numbers that the team is fully confident in, we'll be in a position to provide guidance again.
Operator: The next question comes from Matthew O'Brien with Piper Sandler. Please go ahead.
Matthew O'Brien: Great. Thanks for taking my questions. Sheila, maybe just to follow-up a little bit on Jon's question there, but previous management had talked about AviClear being a $30 million product this year approaching that level. Should we think about it maybe as a run rate off of what we saw in Q1, maybe closer to $20 million for the full year? And then, can the business even grow on the top line this year? When you exclude AviClear, should we just expect it to be down given everything that's going on?
Sheila Hopkins: Right. So the answer -- to answer that question I would actually have to provide guidance which we're just not prepared to do right now. What I can tell you is that, we would expect the business to grow this year.
Matthew O'Brien: Inclusive of AviClear?
Sheila Hopkins: Once again, that's guiding a bit.
Matthew O'Brien: Okay. Okay. Understood. And I'm not sure if this question is for you …
Sheila Hopkins: Yeah.
Matthew O'Brien: …or for Stuart, but the -- I would love to hear a little bit more about the sales retention plan that you mentioned earlier, because the OpEx numbers in the quarter were quite high. What have you had to commit to there? How long is the duration there? And then, how can we feel comfortable that when these commitments expire that there's not another exodus sometime next year or 2025?
Stuart Drummond: Yeah. Hi. It's Stuart speaking. Those sales retention numbers aren't actually in our Q1 results. So we'll be announcing it in our 10-K as a subsequent event footnote. Our Board has committed up to $13 million, $10 million of which is for sales folks. It's an 18-month period. The amounts will be paid along the way in about four chunks.
Sheila Hopkins: And I would want to point out that, the evidence is overabundant that those retention incentives have been powerfully effective. We have not lost a single sales person.
Matthew O'Brien: Okay. Maybe just a follow-up on that Stuart, the increase in OpEx again in the quarter was pretty sizable. Is any more guidance you can give as far as what are the -- some one-time costs in there? What drove those numbers up so high? Because we don't have guidance and we're looking at some of these numbers we're starting to see some pretty high – rates. And I know that's supposed to come down, but like, I mean, how do we think about that? Because it looks like it could be elevated for a while here.
Stuart Drummond: Yeah. Two primary reasons, remember, the comparisons against Q1 last year, so we've ramped up our AviClear sales force by up to 40 headcount, so those numbers are obviously rolling into the Q1 2023. And another item in the G&A is we had an increase in audit expense and audit-related expense due to the extended audit of around $1.5 million.
Matthew O'Brien: Got it. Thank you.
Operator: The next question comes from Margaret Kaczor with William Blair. Please go ahead.
Margaret Kaczor: Hi. Good afternoon everyone. Thanks for taking my questions. I wanted to follow-up on guidance but this time maybe not specifically on what guidance could be. But rather, what specific metrics, I guess, are you looking for to provide comfort to provide that guidance? What don't you have I guess, awareness of today that is prohibiting you from doing that? It doesn't sound like, its sales force turnover. So what else are you guys missing? And more specifically, it did sound to Jon's point obviously that you might provide us some sense around potential to achieve the prior guidance when we last spoke Sheila. So I guess what happened in the last few weeks or months since you joined? Was there something new I guess that made you not comfortable with doing that? 
Sheila Hopkins : Yes. I mean I did have conversations around sharing some color if not guidance. And -- so let me see if I can be a little more helpful on the color front perhaps and also help folks better understand why we're not providing guidance. So with AviClear, we have a new compelling technology. And one of the things we're really digging into with gusto is the underlying assumptions regarding utilization timing from placement to the device being active in the marketplace placement of devices. And we need to fine-tune verify all of those assumptions particularly on AviClear to make sure that we're getting that number as right as we can be, because it is so essential to the outlook. And I would say that is where there is a lot of energy focused right now. And I think it's in our best interest and hopefully you would see it in your best interest for us to get that number as right as we can.
Margaret Kaczor: Okay. That's helpful. And so I guess to follow-up on that can you give us a sense around what AviClear utilization was in that first quarter relative to maybe what you guys thought it might be? And then I know you're -- you talked maybe about hiring new KAM or support reps or at least kind of reeducating and kind of strategizing their focus. But I look at the over 1,000 sites you guys now have and can't help, but think it's going to take a while for your KAM to be able to individually go into each account identify, how they could help implement those procedures and see the outcome on the back end with growth in utilization. But you tell me, I mean, is this potentially a one quarter, two quarter phenomenon, or is this a longer-term effort that will both require new expenses as well as time? Thank you.
Sheila Hopkins : That's a great question. So here's the situation. We're early in the launch. Utilization varies significantly across the installed base. It varies by type of office how long the device has been in place. But importantly, one thing that has meaningfully changed is that the big increase in placements that occurred between November and March means that we have a fair number of boxes, as you pointed out that are still in the start-up phase with low utilization rates, because they just started treating patients. So looking at average utilization today is not really very helpful. The good news is that if we look at utilization levels in offices that have been up and running for a while the numbers that we see are quite encouraging. So what we have to do with a tremendous sense of urgency is take all of the steps that we can organizationally to drive utilization on the existing installed base as fast as we can, as high as we can, and we have plans in place to do that. We're going to increase the size of our installation team so that we can install faster. We're refining the training for our KAM organization, which is responsible for driving utilization. So, that they can partner even more effectively with offices to increase treatment volume and utilization. And as we place new devices in a more strategic and measured way, we are making absolutely certain that we don't place more devices than the KAM team can effectively manage. So with those steps in place, we are actually quite confident that as we move through the quarters, we will get those boxes that currently have low utilization rates, up to rates that we need to take a good return on the investment. So this is all about execution.
Margaret Kaczor: Okay. So if I can just one last question. As we think about hearing those comments with the cash burn that we see and so on, I don't know if you guys can provide it. But it's over a $100 million decrease, I think in cash and marketable securities. Can you ballpark it for us? Are we thinking $40 million a quarter year, $60 million, $80 million, especially -- or maybe even highlight from a KAM perspective how much that might change your cash burn? Thank you.
Stuart Drummond: Sorry, Margaret, it's Stuart. Can you repeat that question and the number that you announced?
Margaret Kaczor: Yes. When I was doing a quick math and I apologize if I'm wrong. But if I looked at the end of year 2022, cash plus marketable securities added that and then compared it to the cash and marketable securities at the end of this quarter, it seemed to me that was $100 million worth of burn. So one, I guess tell me if that's correct? And then two, how should we look at that on a quarterly basis going forward?
Sheila Hopkins: Let me just provide some macro perspective and then Stuart or Greg can answer the more specific calculation question. The cash burn that we saw in this quarter would be a low point for the year. We expect that our cash burn will -- our cash position will improve sequentially through the quarters.
Stuart Drummond: Yes, Margaret. It's Stuart. Our actual cash burn was $49.7 million between December 31 and March 31. $11 million of that was increase in AviClear devices plus we had some balance sheet increases on the inventory with raw materials. Our AR collections were lower as well.
Margaret Kaczor: Okay. It could be something on my end of the math. Sorry, I was looking on the press releases and that's what I came up with so we can catch up on that later. Thank you guys.
Sheila Hopkins: Thank you.
Operator: [Operator Instructions] The next question comes from Anthony Vendetti with Maxim Group. Please go ahead.
Anthony Vendetti: Thank you. Just wanted to follow-up on the AviClear placements. I guess you pointed out that maybe the capital equipment sales force was focused on AviClear, potentially at the exclusion of the rest of the portfolio maybe truSculpt, xeo, whatever. Can you talk about what an AviClear placement looks like in terms of the cost for the practitioner? Is the commission for the sales rep related to the average selling price, or is it -- since it's a placement it's a lower selling price than, let's say, a truSculpt, do they get a piece of the utilization? How does that work? And was there any change in the incentive structure, compensation structure for the sales force that will allow them to refocus on the whole portfolio going forward?
Sheila Hopkins: Got it. So, vis-a-vis commissions on Avi placements, the capital organization does get a commission and it is somewhat a flat fee that is tied to the placement of a box. The KAM organization, which drives utilization, I believe has a compensation structure that is tied to revenue. Because each of those organizations does, two different things the compensation structure for our -- organization does -- it's all-inclusive. It covers both Avi and the capital organization and capital sales. And the comp program that was released in the first quarter, I think was well intended. It was designed to incent performance against both sides of the business. I view the balance issue, to be less a function of the design of the comp plan and probably more a function of the fact that the selling organization was ultimately directed to view Avi placements, as their number one priority, if that helps. 
Anthony Vendetti: Okay. Yes, that's helpful. And then just lastly, on a big picture. You mentioned that the underlying business fundamentals remain healthy. We've seen from other companies in the aesthetic space, they've been impacted by higher interest rates whether that's related to leases or -- also we've been hearing that, certain practices are hesitant to buy capital equipment, when some of their patients may be pulling back on getting some of these treatments. Are you hearing that or not hearing that, at this point? 
Sheila Hopkins: Thank you for that question, Anthony. So generally speaking, we are not seeing that kind of tightening of availability, of funds is affecting our business. There are some -- in Canada, we have seen a little bit of evidence that this may be an emerging small-ish problem. But in the US, the derm market seems to be stable strong. No issues, is what I'm hearing from our field selling organization. We are monitoring this very closely. Does that answer your question, Anthony? 
Anthony Vendetti: Okay and then -- yes. No, that's good. I just -- on the expense side, you mentioned you added 40 employees AviClear. Is that -- over what period of time? And how many were added specifically in the first quarter? 
Stuart Drummond: Yes. Hi, it's Stuart, again. No that 40 was since Q1 of last year. So as you recall, we had the initial launch in April, and a full commercial launch in November so most of that headcount was towards the end of 2022. 
Anthony Vendetti: Okay great. Thank you very much. I’ll hop back in the queue. Appreciate it. 
Operator: The next question comes from George Sellers with Stephens Inc. Please go ahead. 
George Sellers: Hi, thanks so much for taking the follow up. I just wanted to ask about the release that hit just a few minutes ago about an agreement between Cutera and some of the shareholders. Just curious what the implications are for, the special meeting and how that is expected to progress given this agreement? And then the release also mentions, active discussions with the prior CEO towards a resolution, so just curious, if we could get any additional color on some of those discussions as well? Thank you, again for taking the follow-up 
Sheila Hopkins: Right. I wish I could provide additional perspective on that, but that falls a bit under the umbrella of the external governance issues that we are working our way through. So, I would defer to what's in the release, to gather insight on what's happening there. 
George Sellers: Okay. understood. Thank you, again.
Sheila Hopkins: Thanks, George.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Sheila Hopkins, for any closing remarks. 
Sheila Hopkins: Yes. So, I would just want to thank you very much for taking the time to join us on this call. Thank you for the questions. Hopefully, you found the answers to be helpful. And we look forward to updating you, on our next call. We look forward to follow-up conversations, with you one-on-one. So, on that note I would like to thank our operator, Sharice, thank the team here and wish you all a great afternoon and rest of your day. Thank you much. 
Stuart Drummond: Thank you. 
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.